Operator: Good day, and welcome to the Genie Energy Limited's Fourth Quarter and Full-Year 2024 Earnings Call. In today's presentation Genie Energy management will discuss Genie's financial and operational results for the three month and 12-month period ended December 31, 2024. During prepared remarks by Genie Energy's Chief Executive Officer, Michael Stein; and Chief Financial Officer, Avi Goldin, all participants will be in listen-only mode. [Operator Instructions] After Avi Goldin's remarks, Michael and Avi will take questions from investors. Any forward-looking statements made during this conference call, either in their prepared remarks or in the Q&A session, whether general or specific in nature are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, Genie Energy's management may make reference to non-GAAP measures including adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share. A schedule provided in the Genie Energy's earnings release reconciles adjusted EBITDA, non-GAAP net income, and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note that the Genie Energy earnings release is available on the Investor Relations page of the Genie website. The earnings release has also been filed on a Form 8-K with the SEC. I will now turn the conference over to Michael Stein.
Michael Stein: Thank you, operator. Genie finished 2024 with a solid fourth quarter across both our retail and renewables businesses, even as we continue to invest significantly in growth initiatives in both segments. For the full year, we achieved the high-end of our adjusted EBITDA guidance. GRE performed well throughout the year. We capitalized on favorable market conditions to ramp-up customer acquisitions on the one hand, and through our customer retention program, we reduced churn significantly. As a result, we added 23,000 net new meters in the fourth quarter and over 60,000 during the full year, an increase of nearly 17%. The impact of this increase in our meter book was partially offset by lower levels of per meter electricity and gas consumption compared to the year ago quarter, as a result of mild weather in October followed by pretty typical patterns in November and December. Electricity margins in the fourth quarter were lower than in the year ago quarter, reflecting a multiyear migration toward fixed price meters, including a number of aggregation wins during 2024. Having said that, the fourth quarter's margin on electricity sales was still above our historical seasonal average. Looking ahead, we expect to continue to build our meter book in 2025. As I mentioned last quarter, we have accelerated our growth in Texas dynamic electricity market and we have just begun to generate revenue from our newest market, natural gas in California. These two markets highlight our growth opportunity, but conditions are favorable across our markets now in 19 states plus the District Of Columbia. GREW, our renewables business made tremendous progress in 2024 and capped the year with a strong fourth quarter. Gross profit in 2024 increased by over 120% compared to 2023, surpassing $6 million. Meanwhile, we held the percentage increase in SG&A to single-digits to provide a strong improvement in GREW's bottom line performance. In addition to holding our solar generation and related businesses, GREW holds a number of early stage growth initiatives. The largest of these is Roded, an environmental tech recycling business. Even though our increased investment in Roded contributed nearly 25% of the total loss from operations at GREW, we still cut GREW's loss from operations nearly in half in 2024 compared to 2023. Roded has a patented technology developed in Israel that turns agricultural and industrial plastic waste into end use plastic products for industrial customers. It has successfully demonstrated its technology and begun to generate its first revenues, selling heavy duty plastic pallets in local markets as its initial commercial product. We believe that Roded can produce plastic pallets equivalent in size, versatility and strength to current pallet market offerings at a fraction of the price. Over the next few months, we will attempt to scale up operations in Israel by improving production efficiencies and increasing sales. We hope to have more information to share about the business in the coming quarters. Also at GREW, our energy procurement business, Diversegy, recorded a $700,000 loss from operations last year. In 2024, we supercharged its growth, increasing revenue by 70% and GP by 130% to generate over $750,000 in income from operations. We expect Diversegy to continue to grow its top and bottom lines in 2025. At Genie Solar, we have essentially completed our strategic migration to utility scale project vertical. Building, owning and operating utility scale projects will enable us to capture the long-term residual value of the power generated. In that regard, in the fourth quarter, we closed on our first solar financing deal for our portfolio of currently operating arrays, returning approximately $7 million in cash to our balance sheet. The result of the financing will leave us with an attractive return on equity for this portfolio. Going forward, we intend to use similarly structured asset backed finance deals to monetize our operational raise and boost returns on equity, so that we can maximize the cash in our balance sheet while driving growth at a greater scale. In 2025, we expect that Genie Solar will complete construction and bring online one of its initial community solar projects. In addition, we expect to begin construction on two or three more community solar projects over the course of the year. We'll also continue to advance our early stage portfolio even as we look for opportunities to add new arrays through acquisitions, including both operating and development stage solar projects. 2024 was a good year operationally and financially. We achieved strong adjusted EBITDA, significantly higher than what we were achieving before our outperformance years in 2022 and 2023. At GRE, we returned to meter and RCE growth, putting us on pace to repeat or exceed this year's profitability in 2025. At GREW, we improved key financial metrics, put ourselves on pace for continued growth, while investing in new lines of businesses. Our strong operational performance enabled us to faithfully pay our dividend and buyback a significant amount of stock, while growing our cash significantly. On a consolidated basis for the full year 2025, we maintain our annual consolidated adjusted EBITDA guidance at $40 million to $50 million. We also expect to continue to build our cash reserves and opportunistically buyback our stock while paying our current dividend, even while investing in growth at both our new and established businesses. I want to wrap up by expressing my gratitude to the entire Genie team for doing terrific work in 2024 and setting the stage for an even better 2025. Now, I will turn the call over to Avi for his discussion of our quarterly and full year financial results.
Avi Goldin: Thank you, Michael, and thanks to everyone on the call for joining us this morning. My remarks today cover our financial results for the three and 12 months ended December 31, 2024. In my commentary on the quarterly results, I will compare the results for the fourth quarter of 2024 to the fourth quarter of 2023, to remove from consideration the seasonal factors that impact our results, particularly within our Retail Energy business. The fourth quarter is typically characterized by relatively low levels of electricity and moderate gas consumption, as the bulk of the quarter falls between the summer's peak cooling and winter heating seasons. I was pleased with our fourth quarter and full year results, highlighted by operational and financial performance consistent with our expectations, enabling us to achieve the upper end of our 2024 guidance range, while further strengthening our balance sheet. Turning to the fourth quarter numbers. Consolidated revenue in the quarter decreased 1.9% or $2 million to $102.9 million. At GRE, revenue was unchanged at $98.4 million. Electricity revenue of $82.1 million was also unchanged and contributed 83.5% of GRE's revenues. Consumption increased as a result of the success of our meter acquisition programs, but the impact of that increase was offset by lower revenue per kilowatt hour sold. Revenue from the sale of natural gas increased 7.5% in the fourth quarter to $16.2 million, reflecting increases in both our gas meter base and revenue per Therm (ph) sold. At GREW, fourth quarter revenue decreased 30.1% to $4.5 million. Strong growth at Diversegy was offset by reduction in revenue at Genie Solar, as we shifted our strategic focus from lower margin commercial projects and at CityCom Solar. Consolidated gross profit was $33.5 million, a slight reduction from the $33.6 million we achieved in the year ago quarter, while our gross margin edged up 40 basis points to 32.5%. At GRE, gross profit decreased 1.8% to $31.9 million, as our gross margin decreased 55 basis points to 32.4%. The decreases were driven by margin compression on electricity sales, which was partially offset by stronger margins on gas sales. We increased GREW's gross profit by 38% year-over-year to $1.5 million achieving a gross profit margin of 33.9%. The improvement was driven by strong results of Diversegy and the contributions from our operating solar projects at Genie Solar. Our fourth quarter consolidated loss from operations decreased 39.2% year-over-year to $20.8 million, which includes the impact of the $30.9 million loss reserve of our captive insurance subsidiary as we added additional risks. The comparative improvement is primarily due to the $45.1 million loss reserve in the year ago quarter. These non-cash charges are excluded from our measures of adjusted EBITDA and non-GAAP earnings per share. As additional risks are added, we expect the ongoing impact of this line item to reflect changes in the potential liability for the risks that the captive is ensuring. Consolidated adjusted EBITDA decreased 2.8% to $11.1 million, driven by a reduction in adjusted EBITDA at GRE, partially offset by the increased contribution from growth. At GRE, income from operations decreased 15.9% to $12.6 million and adjusted EBITDA decreased 13% to $13.4 million. The decrease has resulted from our increased pace of investment in meter acquisition and to a lesser extent the reduced margin on sales of electricity. At GREW, the fourth quarter's loss from operations decreased 46.9% to $700,000 and adjusted EBITDA loss decreased 60.2% to $521,000. The improvement reflects Diversegy's improving profitability and margin expansion at Genie Solar. The consolidated net loss attributable to Genie common shareholders, which includes the non-cash insurance loss reserve, decreased $15.3 million to $0.58 per share from $24.5 million or $0.90 per share a year earlier. Consolidated net loss from continuing operations attributable to Genie shareholders, which excludes a $2.5 million charge related to the closure of our European operations that is reflected as a loss from discontinued operations, improved to a loss of $12.9 million or $0.48 per diluted share from a net loss of $25 million or $0.92 per diluted share in the year ago quarter. Now, I will spend a few minutes discussing our full year 2024 results. Consolidated revenue in 2024 decreased 0.8% to $425.2 million. At GRE, 2024 revenue of $403.3 million fell 1.6% compared to 2023. Electricity sales, which generated 87% of GRE's 2024 revenue were flat as the impact of our larger electric meter base was offset by a decrease in revenue per kilowatt hours sold. At GREW, 2024 revenue jumped 16.1% to $21.9 million on the back of Diversey's strong top line growth. Consolidated gross profit decreased 5.3% to $138.5 million, where our gross margin decreased 150 basis points to 32.6%. Our consolidated income from operations increased to $11.3 million from $10 million in 2023. The lower non-cash loss reserve for our captive insurance subsidiary in 2024 compared to 2023 more than offset the combined impacts of the decrease in our gross profit and increased investment in meter acquisition. Adjusted EBITDA, which excludes the lost reserves came at the upper end of our guidance at $48.5 million compared to $58.2 million in 2023. The decrease was due entirely to a lower contribution from GRE. At GRE, income from operations decreased 21.4% to $56.5 million from $71.9 million and adjusted EBITDA decreased 20.4% to $58.4 million from $73.30 million. In 2023, we experienced a unique margin environment that allowed us to experience stronger than usual results. In 2024, we moved back towards our longer term average gross margin, while investing to grow our retail book. Note that while not as strong as results we obtained in 2022 and 2023, 2024 results were a significant improvement over the long-term run rate. At GREW, the loss from operations improved to $3 million from $5.8 million in 2023 and we reduced our adjusted EBITDA loss to $2.2 million from $5.4 million in 2023. As was the case with our fourth quarter results, the full year improvement reflects Diversegy's pivot’s profitability and at Genie Solar to transition to utility scale project development and operations. For 2024, consolidated net income attributable to Genie common stockholders, which includes a non-cash provision for captive insurance liability, decreased to $12.6 million or $0.46 per diluted share from $19.2 million or $0.74 per diluted share in 2023. Diluted earnings per share from continuing operations, exclusive in the impact of our discontinued European operations, increased to $0.57 in 2024 from $0.49 in 2023. Non-GAAP diluted earnings per share, which excludes discontinued operations and the impact of the loss of the captive insurance company was $1.40 per diluted share versus $2 per diluted share in 2023. Turning now to the balance sheet. At December 31, 2024, cash, cash equivalents, long and short term restricted cash, which includes the cash held by our captive insurance subsidiary, as well as marketable equity securities totaled $201 million, an increase of $37.6 million over the full year. Working capital was $117.6 million. Our debt of $8.7 million reflects the financing deal for our portfolio of operational arrays that Michael mentioned earlier. We repurchased approximately 168,000 shares of our Class B common stock in the fourth quarter for $2.5 million. For the full year 2024, we repurchased 661,000 shares for $10.4 million and paid out a regularly quarterly dividend to return an additional $8.2 million to stockholders. To wrap up, this was another solid financial quarter and capped off a strong year, characterized by robust cash generation, further strengthening of our balance sheet and significant investments in growth initiatives. We're in excellent position to perform very well again in 2025 and continue to return value to our stockholders. Operator, back to you for Q&A.
Operator: Certainly. We will now begin the question-and-answer session. [Operator Instructions] As there are no questions, this concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.
End of Q&A: